Operator: Good day, and welcome to the Medifast Fiscal Fourth Quarter and Full Year 2021 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Reed Anderson with ICR. Please go ahead.
Reed Anderson: Good afternoon, and welcome to Medifast's fourth quarter 2021 earnings conference Call. On the call with me today are Dan Chard, Chairman and Chief Executive Officer; and Jim Maloney, Chief Financial Officer. By now, everyone should have access to the earnings release for the period ended December 31, 2021, that went out this afternoon at approximately 4:05 PM Eastern Time. If you have not received the release, it is available on the Investor Relations portion of Medifast's website at www.medifastinc.com. This call is being webcast, and a replay will be available on the company's website. Before we begin, we would like to remind everyone that the prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your questions. The words believe, expect, anticipate and other similar expressions generally identify forward-looking statements. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. Actual results could differ materially from those projected in any forward-looking statements. All the forward-looking statements contained herein speak only as of the date of this call. Medifast assumes no obligation to update any forward-looking projections that may be made in today's release or call. And with that, I would like to turn the call over to Medifast's Chairman and Chief Executive Officer, Dan Chard.
Dan Chard: Thank you, Reed, and good afternoon, everyone. Thank you for taking time to be with us. On the call with me today is Jim Maloney, our Chief Financial Officer. I'll start with an overview of the fourth quarter, then Jim will run through our financial results in more detail. Following our prepared remarks, we will open up the call to your questions. 2021 was another record year for Medifast as we continue to demonstrate the power of our coach-centric model to positively impact millions of OPTAVIA clients' lives and drive strong financial performance. In the fourth quarter, revenue increased 42.6% over the prior year period to $377.8 million, reflecting strong execution in all areas of the business. Earnings per diluted share were $2.91, a 23.3% increase over the prior year period. The number of active earning OPTAVIA Coaches grew 35.3% to 59,800 on a year-over-year basis, and productivity per active earning OPTAVIA Coach rose 6.6% to $6,321. Jim will dive deeper into our performance in just a few minutes, but I want to take the opportunity to dig into why the Board, the leadership team and I are so aligned in our belief that Medifast has an unparalleled opportunity ahead of it right now as we move into the next phase of our remarkable growth journey. Five years ago, there were undoubtedly those who are skeptical about the ability of Medifast to deliver on our long-term growth goals. They saw us as a manufacturer and omnichannel distributor of diet products and made some assumptions around what we could achieve. The reality is that time and time again, we have outperformed expectations. Our business is now more than doubled twice since we implemented the strategy to put the coach-centric vision at the heart of the business. That coach-focused approach is clinically proven to be effective and is being propelled by an innovative approach that fuses the best aspects of direct selling and direct-to-consumer offerings. This has enabled us to create a truly differentiated and unique model that puts the OPTAVIA Coach at the center of helping clients on their health and wellness transformation journeys with personalized support. With this engine powering our momentum, we have moved from $275 million in revenue prior to the launch of OPTAVIA and the new business model to today announcing revenues in excess of $1.5 billion. This will seem like extraordinary growth to casual onlookers and certainly, it's a testament to our strategy and the team behind it. However, for those of us inside the business, it really is just the tip of the iceberg in terms of what we are capable of achieving. The success of our transformation to a coach-centric model reached an important milestone this past year as we became the market leader by dollar share in the weight management category in the United States, supplanting some long-standing competitors in this space who just a few years ago were more than 4x our size in terms of total revenue. However, we're not content to rest on our laurels. When we began our business transformation five years ago, we set out on our mission to offer the world lifelong transformation, one healthy habit at a time, and we defined at that point our U.S. addressable market as the $7 billion weight loss through commercial meal plans and replacements. Having achieved significant success, our differentiated model gives us unique permission to play in a much wider space than we do today. As such, it's clear that we can now expand our penetration into the broader $230 billion U.S. market for health and wellness far more deeply than we do today. Technology will be at the core of our expanded growth journey. We will leverage technology, digital apps and data to improve the efficiency of our Coach and Client community and will add to our strong platform of clinically proven products and the Habits of Health system. This will make our offer more attractive to increasing numbers of coaches and clients and unlock opportunities for new service and subscription offers. This will, in turn, increase Coach efficiency in attracting new clients, enhancing lifetime value of OPTAVIA clients and continue to offer improvements in field-led training of new OPTAVIA Coaches. Enhancing our technological capabilities has been a key area of investment over the past several years and will accelerate as we move forward. We are seeing solid progress in our proprietary OPTAVIA apps, which have cumulatively been downloaded over 300,000 times by clients and coaches since launching late last year. The OPTAVIA apps drive deeper and more consistent engagement and are central to our long-term strategy of seamlessly connecting OPTAVIA Coaches and Clients within the OPTAVIA community. The OPTAVIA app, which is designed to support clients on their health transformation journey, added over 91,000 new users in the fourth quarter. Each user of the app is now connected in a new way to their coach and provides the capability to communicate even more closely with their coach as well as manage their subscription order for OPTAVIA products. It also gives clients access to over 125 healthy lean and green recipes that support the habit of healthy eating and makes OPTAVIA more central and front of mind in their pursuit of lifelong transformation. Our core focus will continue to be on growing the number of clients seeking greater health and wellness, targeting those who have failed on diets and want a holistic approach to achieving greater health and wellness in their lives. However, our mission cannot and will not stop there, and I'm excited by some of the initiatives that we are considering to help further deepen and widen our engagement with consumers. Our client community is now comprised of over 1 million individuals annually who rely on OPTAVIA Coaches throughout their health and wellness journeys. Most of these clients are here in the United States. As we continue to expand into the broader health and wellness segment under this market, we have continued to prioritize a global approach based on the learnings we've had thus far in select international markets. As we look at consumer trends and evolving behaviors in the health and wellness space, our surveys revealed several interesting insights to support the effectiveness of our OPTAVIA Coach model. We know, for example, that in late 2020, more than half of U.S. adults adopted new, positive health routines amid the pandemic, 96% of whom plan to continue embracing healthy habits throughout the year. Six months later, we found that 84% of Americans were actively working towards achieving their health goals. The number one reason U.S. adults wanted to prioritize their health and wellness was to feel better, both physically and mentally. Typically, people have set resolutions and vow to make changes to their health as they enter a new year. However, our most recent survey suggests that New Year resolutions could be a thing of the past. The number of people setting New Year resolutions has decreased annually according to our surveys, and only 10% of U.S. adults stick with their resolutions. The primary reason respondents failed was loss of motivation, followed by not having a plan or the right support. Less than half of U.S. adults said they were planning on setting a 2022 New Year's resolution, with many wanting to take a different approach and incorporate small changes into their daily lives throughout the year. These findings suggest that consumers are prioritizing health and well-being in all areas of their lives, and searching for better ways to accomplish their goals year round. Our unique OPTAVIA model has proven effective in helping people achieve their individual health and wellness goals with the right support, and we believe that it can be the solution to those looking for lasting change. While parts of our business model may have been initially founded on the direct selling approach, we have moved substantially away from the traditional model in recent years to develop a differentiated system that is more reflective of the way consumer behaviors and demands are shifting. A comparison of our results in recent years substantially underscores this point. Over the past three years, our annual sales growth rates were 42% in 2019, 31% in 2020 and 63% in 2021. On the other hand, major public direct sellers had average annual sales growth rates of negative 7%, positive 5% and positive 2% in the same periods, respectively. The largest annual sales growth rate recorded by any major public direct seller during the same time frame was less than 14%. Moreover, in 2020, the first year of the pandemic, our sales growth was very strong at 31%, but saw some deceleration from prior – the prior year. Traditional direct sellers on the other hand, saw a material acceleration in 2020 as people look not for health transformation but for alternative income generating options tied to the pandemic uncertainties. At OPTAVIA, we're building a deeply connected community, optimized by a powerful network effect rather than a fluctuating direct sales model. We believe that we have a compelling value proposition and that our platform is highly scalable, fortified by our significant investment in technology and infrastructure. As of the end of 2021, over 90% of our revenue is subscription-based and 100% of our orders are direct to consumer, which drive strong, consistent growth in revenue and profits. Operationally, we're in a strong position. We believe that our accelerated investment in the fourth quarter, including our partnership with a 3PL company on a new distribution center in Fort Worth, Texas, will help us further increase our supply chain capacity to support over $2.5 billion in revenue by the end of 2022. This represents $500 million in manufacturing and fulfillment capacity beyond where we finished in 2021. We continue to build out our technology and innovation lab in Utah and invest in other technology tools, including our proprietary apps to drive coach productivity even higher. Since we first shifted to the coach-centric model in 2016, revenue per active earning coach is up more than 50%, and we believe that we’re just getting started. We have talked at length about our commitment to maintain mid-teens revenue growth and 15% operating margin annually. Revenue will be fueled by the large addressable health and wellness market in the United States and our continued expansion into the Asia-Pacific markets and other large markets throughout the world. Our margins will be driven by strong underlying demand from consumers for our unique coach-based solution. Over the near-term, we expect margins to benefit from increasing scale and operational efficiencies as we leverage our recent investments, though there will be short-term margin pressure this year from the continued investment in technology and supply chain infrastructure. While mid-teens revenue growth and 15% operating margins remain the focus of our sustainable long-term financial goals, we believe there is significant upside in growth potential above and beyond these objectives as we invest in the business, leverage our assets and develop new capabilities to drive growth and operational efficiencies. We have a highly experienced management team, a proven strategy and a differentiated market approach. We will continue to pull all the levers available to us to drive consistent growth in our metrics. And as we look to the future, we believe that there is significant upside as we focus on delivering our growth ambitions. As we grow, we remain committed to building on our corporate values that include giving back to our communities. Over the past two years, urgent social and environmental challenges required companies to reimagine their corporate giving and social responsibility strategies and rethink the impact they leave on future generations. Medifast’s commitment to lifelong transformation starts with the work that our independent OPTAVIA coaches do and includes actively supporting the communities where they live and work. OPTAVIA has impacted more than 2 million lives, but we believe we have the power to do more. Our corporate social responsibility initiative, Healthy Habits for All, advances our mission by providing underserved communities with education and access to healthy habits. Through partnership with nonprofits, we can help break the generational chains of poor health to give children and families in at-risk communities the ability to transform their health and wellness destinies. Decision is reflected in the partnership between our corporate team and our coaches in supporting the deserving communities across the globe. Together, we hit an important milestone this year, delivering up to 10 million nutritious meals to kids in need to our partnership with the nonprofit, No Kid Hungry. I’ll close my remarks with an update on what’s to come for the program. In 2022, we will be focused on the education pillar of this initiative. Our Healthy Habits for All curriculum go live and is designed to teach students about healthy habits. We believe children will be better prepared to make healthy choices a reality, this knowledge and greater access with critical resources despite socioeconomic background. This will be an important and exciting year for Medifast as we look to build on our leadership position in the weight management market and broaden our approach to focus on new segments in the broader health and wellness market. We’ve made meaningful progress in advancing our work in operational infrastructure development and technological advancements over the past year. We’ll look to leverage these investments through and during 2022 to drive further growth. We have a strong and experienced leadership team and a team of employees who continue to show passion and commitment to our important mission. Much to be optimistic about and look forward to delivering on our vision in the months ahead. Let me now turn the call over to Jim Maloney, who will walk you through the financial results. Jim?
Jim Maloney: Thank you, Dan. Good afternoon, everyone. Revenue in the fourth quarter of 2021 increased 42.6% to $377.8 million from $264.9 million in the fourth quarter of 2020. We ended the quarter with over 59,800 active earning OPTAVIA coaches, an increase of 35.3% from the fourth quarter of 2020. Average revenue per active earning OPTAVIA coach from the fourth quarter was $6,321, up 6.6% from the prior year period. We were pleased with the coach growth and productivity gains on a year-over-year basis compared to the record highs we achieved in the third quarter, we believe the sequential declines in the fourth quarter reflects seasonal factors as well as the impact of our supply chain transition earlier in the year that we discussed with you during our Q3 call. Gross profit for the fourth quarter of 2021 increased 39.7% to $278.3 million compared to $199.2 million in the prior year period reflecting strong revenue growth, partially offset by increased cost of sales. Gross profit margin was 73.7% in the fourth quarter of 2021 versus 75.2% in the comparable prior year period. A 150 basis point decline in gross margin was attributable to higher product and shipping costs. We instituted a 3.5% pricing increase in December 2021 to offset the recent inflation pressures we’ve experienced in raw materials and transportation. We continue to expect pricing strategies, productivity programs and scale-related efficiency in distribution and manufacturing to drive improvement in gross margin over the long term. SG&A expenses for the fourth quarter of 2021 increased 43.5% to $231.4 million compared to $161.3 million for the fourth quarter of 2020. SG&A as a percentage of revenue increased 40 basis points year-over-year to 61.3% versus 60.9% in the fourth quarter of 2020. The increase was primarily due to higher OPTAVIA coach compensation expense, increased salaries and benefits-related expenses for employees, incremental costs related to continued investment in information technology and distribution and increased credit card fees resulting from higher sales. Income from operations increased 23.4% or $8.8 million to $46.8 million as a result of higher gross profit partially offset by increased SG&A expenses. Income from operations as a percentage of revenue was 12.4% for the fourth quarter of 2021 compared to 14.3% in the same period in 2020. The effective tax rate was 27.2% for the fourth quarter of 2021 compared to 26% in the prior year’s fourth quarter. The increase in the effective tax rate was primarily driven by an increase in state income tax rate and the limitations on executive compensation, partially offset by tax benefit of stock compensation. Net income in the fourth quarter of 2021 was $34 million or $2.91 per share compared to net income of $28 million or $2.36 per share in the prior year’s fourth quarter. Turning to our balance sheet. We believe our financial position remains strong with no interest-bearing debt and approximately $110 million of cash, cash equivalents and investment securities at the end of the fourth quarter. The reduction in cash compared to a year earlier was primarily due to the growth in net inventory to mitigate supply disruption as we had abnormally low levels of inventory at the start of 2021. In addition, we had higher capital expenditures this past year to support our long-term growth initiatives related to technology and capacity expansion. Finally, we provided a return to shareholders in the form of stock repurchases and dividends that we believe is best-in-class for such a high-growth business. During the fourth quarter of 2021, the company repurchased another $10 million worth of stock, bringing our total repurchases to $56 million in 2021. There are approximately 2.1 million shares remaining under the company’s stock repurchase program as of December 31, 2021. Given our expected trajectory for revenue and earnings growth over the next several years, we continue to believe share repurchase remains a compelling way to enhance stockholder value. Finally, in December 2021, the company’s Board of Directors declared a quarterly cash dividend of $16.8 million or $1.42 per share that was paid on February 8, 2022, to stockholders of record as of December 21, 2021. Turning to our guidance. For the full year 2022, we expect revenue in the range of $1.72 billion to $1.79 billion and diluted EPS to be in the range of $14.50 to $16. As Dan discussed, we believe we will be able to achieve mid-teens revenue growth and be able to achieve 15% operating margin in the long term. We expect, in the short-term, margin pressure this year from continued investment in technology and supply chain infrastructure. Our guidance assumes a 24.25% to 25.25% effective tax rate. The increase from the prior year’s effective tax rate reflects the growth and expansion of our business as well as limitations of certain deductions. In closing, fourth quarter and full year 2021 results were strong in the face of continued challenges in the external environment, and we remain confident in our business model as we head into 2022. We continue to target mid-teens top line growth and 15% operating income margin in the long term, and we will remain confident in our ability to deliver strong, sustainable growth that we believe will enhance value for stockholders. With that, let me turn the call over for questions. Operator?
Operator: [Operator Instructions] Our first question will come from Steph Wissink with Jefferies. Please go ahead.
Steph Wissink: Good afternoon, everyone. Thank you for taking our questions. The first one we wanted to explore was just the coach count ending the year. And if you can give us any sense of how your coach recruitment cycle is going year-to-date? Just want to get comfortable with that step down in coach count that you’re seeing some acceleration in that figure to hit your 15% growth guidance?
Dan Chard: Sure. Thanks, Steph. Good to hear from you. Yes, as we talked about in the last quarter, we’ve seen some downward pressure on client-to-coach conversion really related to the earlier transitions we had in the first half of the year tied to the transformation of our supply chain or the increase of our capacity and supply chain. So it was expected. And what we’ve seen coming out of it, we ran our essential star promotion in the fourth quarter, which resulted in the expected number of new client cohort moving into the new year. So we feel confident with where our coach count is going as we move into Q1.
Steph Wissink: Okay. Very helpful. And then on a related note, the productivity per coach just continues to surprise us to the positive. So I wanted to just give you a little bit more airtime to talk about the initiatives that you think are contributing to that advancement in that figure. It’s representing a larger percentage of the growth overall for the company. I just want to make sure we’re thinking about 2022, the balance between coach count growth and productivity embedded in your 15% growth guidance?
Dan Chard: You bet. When we started out and made the coach-centric model in the forefront of our overall business growth strategy, we at the same time focused on creating ways to make our coaches more efficient. And there are a lot of ways to do that. Part of it relates to technology. Part of it relates to other people’s technologies that are helping our coaches be more efficient. Right now, what we are focused on is leveraging our investment in digital apps for one thing, to help our coaches manage more clients. We also, over the period of the last couple of years, have found ways to move people to the more, I’d say, a higher value product line of OPTAVIA. That’s been another piece. Going forward, though, it has to do with leveraging technology, leveraging data, and we continue to feel like there’s a lot of upside to that coach productivity number. Did we make clients more happy or we improved their experience with coaches and we make coaches more effective by allowing them to manage more clients with less time, allowing them to perform the more value-added activities that we know drive the business growth and drive productivity.
Steph Wissink: Okay. That’s helpful. My last one is on inventory. And I know, Jim, you talked a little bit about last year’s comparable year-end inventory was just far too low. So part of this is just the optics of that comparison, but it was up quite a bit year-over-year. Help us think through the portion of that that’s inflation-related, timing-related? Is there anything that would be in transit that we would need to consider in that year-end inventory balance? And then what do you think about the optimal inventory balance as we go forward? What do you want to carry in terms of just-in-time versus just-in-case? Thank you.
Jim Maloney: Sure. So as I mentioned in the remarks, so inventory, when we came into 2021, we’re exceptionally low as a percent of our business. And if you remember, Steph, we were having stock outs at that time. So we intentionally invested and got levels of inventory to a more proper state. So the way I see 2022, revenue levels will increase with the growth of the business. So obviously, this past year, revenues surpassed and outpaced our revenue growth. But I would expect it will get back to a more normal flow based on the growth of our business. As we came into the beginning of this year, we wanted to make sure that we didn’t have any disruption. And as of right now, we’re not seeing any disruption due to inventory. And we’re not expecting any for the foreseeable future. To your question about inflation, we are seeing inflation. And I mentioned that we took a price increase of 3.5%. And we did that in December of last year. So we didn’t really see a lift in revenues due to that price increase because it was really the last several weeks of the fiscal year, but our expectations for that price increase was to cover our costs. So the 3.5% increase is basically mirroring the increase in our raw ingredients and transportation. So hopefully, that helps.
Steph Wissink: That’s very helpful. Thank you. I’ll pass it along.
Operator: Our next question will come from Linda Bolton Weiser with D.A. Davidson. Please go ahead.
Linda Bolton Weiser: Yes. Thank you. So I was just curious about if you could give some general directionality on the gross margin and SG&A ratio for the next year. I mean with the price increase kind of kicking in to be a positive factor, do you think you can kind of maintain gross margin roughly going forward where it is? Meaning, it would be kind of flattish for 2022? Or any color you could give kind on that would be helpful. Thanks.
Jim Maloney: Yes. So as I mentioned, Linda, we’re expecting that the price increase is going to offset much of the inflation in 2022. So the good news about our business is we can basically see the inflation costs because we lock in a lot of our costs for about a six to seven-month period. So we have a good view of how inflation is going to affect 2022. So I would expect that gross margins on an overall basis to basically hold like you’re suggesting. The other comment about investing. So we’re going to continue to invest and that’s going to be in technology and supply chain in the coming months and quarters. So you would expect that the SG&A line item, where most of that investment will be – will occur – will impact the operating income margin by 60 to 80 basis points.
Linda Bolton Weiser: Okay. Thank you. That’s helpful. And Dan, when you talk about kind of the evolution and growth of the company and the fact that you’re now thinking of your addressable market as this much bigger number, the overall health and wellness market. I kind of wonder how that goes along with the coaches and how they kind of view what they’re providing to customers? Because you’ve always talked about how they really have a message. They have the Habits of Health, the Teachings of Dr. A, and this is what they’re essentially "selling" is a lifestyle more than anything. So how do you transition that to them having a message that somehow addresses a much broader market? I mean if they’re going to be selling maybe something that’s offered through an app, I mean that gets into something a little bit different. So can you explain your thoughts behind that a little bit more?
Dan Chard: I think what we’ve seen in this – in the first part of our transformation, as you were saying, which started in 2017, was putting the coaches at the center of everything we do, which meant they receive a greater degree of support from the company and no channel conflict. So that was the first phase. The second phase has been about building an operational infrastructure capable of supporting the growth. And the last phase, which is the question you’re asking, as we move out of this building out our operations is about creating higher levels of productivity. And that productivity, I would say, includes new products. So these are products that are consistent with and part of the Habits of Health story that they already talked about. New services. So think of a service as anything we do that make our coaches more productive. A good example there is we fairly recently did a test to understand how we can make our coaches more effective and efficient in attracting new clients. And what we found is that there was a significant opportunity, we believe, and it played out in bringing lapsed clients back to connect with our coaches. So these are clients who previously had a positive experience on using our structured plan to get healthy and who may have lost the connection with their coach. So by using technology and data and our mobile apps, we create the ability to bring them back in, so in other words, increasing the lifetime value of clients. And then the other side of this is just tied to making, again, on the service side, our coaches more capable of supporting more clients. So there’s a product component. There is a component to help bring higher lifetime value by bringing former clients back in. And there's a component around helping our coaches to be more efficient in supporting clients by giving them – meaning clients more opportunities to use technology to go through our health transformation plan.
Linda Bolton Weiser: Okay. And then just, again, just the question about kind of the seasonality of the Coach decline here a little bit in the fourth quarter. You have these promotions in September. And I kind of thought that would be like a special push that actually maybe you could have coach growth in the fourth quarter sequentially. Did the promotions work as expected? Or were they a little less effective than what you had planned?
Dan Chard: No, the objective and the outcome we were looking for from the promotions was to bring in a new cohort of clients in the fourth quarter. And we had some specific objectives around how many clients will be brought in. That outcome was achieved in the way we expected. As you know from the past that the way our cycles begin is new clients come in, they go on plan. A portion of those clients become coaches, and then they go on and get more new clients. And achieving the right ratio of tenure and client and coach mix is what drives our continued growth. So what you saw in the fourth quarter, so a sequential decline, not significant, but relevant, was a reflection of, again, the transition that we made earlier in the year to add $1 billion of capacity. So during that transition, when our – Q1 and Q2, in particular, when our carb to curve orders were significantly higher than normal. It had that weight on client experience create a downward pressure and that has a delayed impact in Q4. So what we saw in the fourth quarter was a new client cohort coming in. And all of our client experience metrics returning to normal as we headed out – as we finished the year and started the new year. So we're confident in where we were at the end of the year with new clients coming in and confident with where we are now with client experience being where it is and being the beginning of the high point of our seasonality, which is kind of January, February and March.
Linda Bolton Weiser: Okay. And then just finally, I didn't go back and look, but do you happen to recall what you guided to in terms of revenue growth in 2021 at the beginning of the year? Because you certainly probably didn't guide to 60% revenue growth. So I'm just curious if this guidance that you're giving, which is totally in line with your long-term growth objective, is it somehow represents like significant slowing? I mean if you go from 60% to 15% growth in 2022, that is a pretty significant slowing. So just maybe your thoughts on that.
Jim Maloney: Yes. So Linda, – in Q1, if you remember, we did not provide guidance. We didn't start providing guidance since we entered the pandemic. I think we started providing guidance in the July time frame of last year. So we don't have that reference going back to the beginning of 2021.
Linda Bolton Weiser: Okay, all right. Thanks a lot.
Jim Maloney: Yes, thank you.
Operator: [Operator Instructions] Our next question will come from Doug Lane with Lane Research. Please go ahead.
Doug Lane: Hi, good evening, everybody. Dan, the stats that you quoted on the success of Medifast in the weight loss market here in the U.S. is pretty impressive. I'd like to just probe that a little bit more. How does OPTAVIA go-to-market different than some of your other competitors? Again, without naming names, but maybe just from a style or type what is it about OPTAVIA that differentiates it? And maybe you can even start with why there's no real apparent seasonality in this business or at least there hasn't been since you rebranded OPTAVIA four or five years ago?
Dan Chard: Sure. Thanks, Doug. Yes, that's a great question. We have consistently, as we moved to our new model, we moved away from anything that was in our past that looked like marketing a diet. So what that really means is that when a client becomes part of the OPTAVIA plan, they're getting a number of services that are unique to that plan. So it starts with coaching. And as you know, an OPTAVIA Coach, the majority of them have been clients previously. So they have a shared experience, and we know that makes a big difference. It also is a plan that Coaches execute that's very personalized to the individual. So it's the coaching plan. Next thing is that it helps them learn a set of healthy habits. The first habit is healthy eating, which is eating six small meals a day. And so it's – even though their objective and the outcome of that healthy eating plan is weight loss, the objective is to establish a healthy habit that will last a lifetime. So that's another difference. So the products are really in the service of learning those healthy habits. The next area of difference is the Habits of Health system. So that's a proven system that teaches people the whys behind what they're doing. So again, still focuses on instilling the series of micro habits that then extend well beyond the time that they are using our OPTAVIA fuelings to help them learn the habits and goes beyond just a habit of healthy eating to include a habit of healthy hydration, healthy exercise, healthy sleep. So again, not just a caloric restriction education program. And the last one is the community. People we know from our research lack the ability often to do something that can be difficult, which has changed your way of thinking and changing the way you're acting, some things that you've learned for, in some cases, your whole life, to a new way of thinking, a new way of acting. And so it's – that ties back to the OPTAVIA community. We have ways to connect the OPTAVIA community together. So they help each other answer questions, support each other. And so the tie into the OPTAVIA community goes even beyond just the coaching relationship to support it. So we specifically target people who have failed on diets and who are ready to try a new approach all tied to habits using coaches, community, Habits of Health and our products to help them establish those habits.
Doug Lane: That's interesting. Do you have any data on what percentage of your clients have actually been on other weight loss programs before they came to OPTAVIA?
Dan Chard: Since the majority of Americans have at some point, been on some kind of diet, so when I say the majority, I would say, 80% to 90% of Americans have, at some point, tried to lose weight. We assume and we have some support for this that the majority, so say, 80% to 90% have tried some other means of doing before OPTAVIA. And we did clinical research a couple of years ago to kind of bear out the importance of having the coach and learning healthy habits and that clinical research supports our claims of our approach being more effective than just based on the diet so – yes, go ahead.
Doug Lane: Okay. I didn't mean to interrupt, sorry. I was just going to move on to see what kind of – what is the typical OPTAVIA demographic vis-à-vis the broader weight loss market demographic?
Dan Chard: Yes. Our demographic is typically – I mean, our target is really women – middle-aged women around 40. And the demographic of weight management, I don't have those numbers. What I can say about our demographic is that it continues to expand on both ends. We're getting younger people who are focused on getting healthy. And we're getting older people who are focused on getting healthy. All of them looking for a holistic approach to their health and well-being, the other side to this, that's part of the Habits of Health system is, goes even into how you start to think about health in a more productive way. So we focus on not only healthy body, but also healthy mind and healthy mindset. So yes, the demographic is expanding on both sides. I think particularly though, it's interesting to see the demographic going to the younger group who are anxious to learn how to break what they were – break the habits that they were grew up with. Learn more about healthy nutrition, healthy exercise, healthy hydration, healthy sleep and apply it into their lives.
Doug Lane: Thank you. That's helpful. And just one last thing. With your expanded target market, should we look for an entry into something beyond meal replacement? Is it in more traditional nutritional supplements?
Dan Chard: Yes. I mean, as I said before, we look at – I mean, if you look at that broader health and wellness market, a portion of it is product-based. So food, supplements, those kinds of things. And we think we can continue to offer more to our clients in that area. But there are large areas of service focus as well and large areas of technology support as well, so we think we can also play in those other areas. So think of it as expanding into additional service offerings, all using our Coaches, leveraging technology. As you heard from our script, we've launched – the two apps that we've launched, we have had over 300,000 downloads with 90,000 of those in the fourth quarter for our clients. We also have accelerated the development of those apps. We've had year-to-date over six releases of each of those apps, both the Coach app and the Client app, which means roughly we have a release per week of each. And so you can see us moving more quickly and more aggressively as well as thoughtfully into leveraging these apps to support our coaching structure. And we think that's going to be a meaningful changer for us and part of what helps us expand further into health and wellness market.
Doug Lane: Okay, that’s helpful. Thanks Dan.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Dan Chard, Medifast's Chairman and CEO, for any closing remarks.
Dan Chard: We want to thank everybody who has been able to join the Medifast call today. We particularly appreciate the work of our coaches in their effort to transform the lives of now last year, over one million people who participated in the OPTAVIA plan. We are confident and looking forward to the upcoming year. We feel like we've shown our ability to work through environmental and macro challenges as well as continue to add innovation and new ways of thinking about our business and the broader market and look forward to speaking with our investors again as well as our analysts in the – to report our next quarterly results. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.